Operator: Greetings and welcome to Extended Stay America Third Quarter 2020 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Rob Ballew, Investor Relations. Please go ahead.
Rob Ballew: Good morning and welcome to Extended Stay America’s third quarter 2020 conference call. Both the third quarter earnings release and an accompanying presentation are available on the Investor Relations portion of our website at esa.com, which you can access directly at www.aboutstay.com. The accompanying presentation adds supplemental data on recent trends and comparison to recent industry and segment results. Joining me on the call this morning are Bruce Haase, Chief Executive Officer; and David Clarkson, Chief Financial Officer. After prepared remarks by Bruce and David, there will be a question-and-answer session. Before we begin, I would like to remind you that some of our discussions today will contain forward-looking statements, including a discussion of our fourth quarter and 2020 outlook and expectations regarding the COVID-19 pandemic. Actual results may differ materially from those indicated in the forward-looking statements. Forward-looking statements made today speak only as of today. The factors that could cause actual results to differ from those implied by the forward-looking statements are discussed in our Form 10-K filed with the SEC on February 26, 2020 and our Form 10-Q filed yesterday with the SEC. In addition, on today’s call, we will reference certain non-GAAP measures. More information regarding these non-GAAP measures, including reconciliations to most comparable GAAP measures are included in the earnings release and Form 10-Q filed yesterday with the SEC. We also refer to RevPAR index, which refers to a percentage score calculated by comparing RevPAR on a comparable system-wide basis to an aggregate RevPAR of a group of competing hotels, generally in the same market based on a weighted average of individual property results. With that, I will turn it over to Bruce.
Bruce Haase: Thanks, Rob and good morning, everyone. I'm very proud of our performance during the quarter. As we beat not only our own expectations that outperformed all industry and competitive benchmarks. Our comparable system wide RevPAR declined 14.7%. A significant improvement from both the decline in the second quarter and exceeded the guidance we provided in early August. Our third quarter year-over-year RevPAR performance was more than 20 points better than the mid-priced extended stay segment and we also gained more than 30 points of RevPAR index compared to our comp set. This performance was driven by the strength of our singular focus on the extended stay segment. We are a pure play on extended stay and we believe that to be a significant competitive advantage. Extended stay revenue generated from our proprietary distribution channels, our website, and our call center increased slightly year-over-year in the third quarter, despite declines in ADR across the board and some very difficult market conditions and some of our largest markets due to the pandemic. Our relative RevPAR performance improved each month during the third quarter, and occupancy has been running close to 2019 levels since early August. While some of our verticals have been hurt, such as IT consulting, pre-openings, and events, and ADR is down across the country. Our field sales and operations teams have demonstrated strong performance from important verticals such as construction, supply chain and medical workers, while also developing new customer segments. Third quarter adjusted EBITDA of $112.7 million increased by nearly $40 million, compared to the previous quarter, coming in well ahead of our expectations and guidance. And as a result, we generated more than $60 million in free cash flow during the quarter. Our strong performance was driven by motivated and engaged associates at all levels throughout this company. And nearly 8,000 associates have rallied around our mission to serve our core extended stay guests. And as a result of the efforts of our associates, we were able to pay our frontline management bonuses, increased the wages of our frontline hourly field employees, and continue to hire in many areas of the country unheard of today in this industry, all while maintaining strong cost control at our hotels and at the corporate office. Thank you colleagues for your hard work and dedication this quarter. [Evaded] and engaged employees focused on a common set of goals to drive strong performance. The numbers bear this out for Extended Stay America, as we have nearly doubled our associate engagement and Glassdoor scores from a few years ago. Engaged associates resulted in more satisfied customers, which in addition to our other operational initiatives have resulted in a nearly 25% improvement in our social media scores and large increases in our net promoter scores this quarter.  As social media scores and NPS are highly correlated with RevPAR we are taking strong action to build upon these improvements for the long-term, with initiatives such as our recently launched quality assurance program. During the third quarter, we not only successfully managed through the pandemic, but we also continued to invest in the future the company and the ESA brand. Given the relative performance during the pandemic, I'm sometimes asked about the company's prospects for the post pandemic period that we all hope will be coming sooner rather than later. I believe investors should not consider our recent strong performance to be something that will fade when the pandemic ends, but something that will instead become the basis for a true performance post pandemic. We improved of course, not only from current levels of profitability, but also improved relative to our pre-pandemic performance. Our recent performance during the pandemic demonstrates the depth of the extended stay market. In the midst of the current disruption of the lodging industry, we have been able to operate at nearly 80% occupancy and when the pandemic ends, most of those current demand drivers will remain, but will add back additional sources of higher rated demand, like various consulting customers, event driven business, and corporate business in the 7 to 29 day link segment that should allow us to maintain higher occupancies at higher rates, which we will believe will translate into improved profitability. The depth and power of the extended stay demand and its related industry leading profit margins is something that I do not believe we fully accessed pre-pandemic. With that in mind, we are taking steps with our revenue generation platform that are not only driving our current relative outperformance, but which I believe will take the company to new levels of performance when the pandemic ends. Improving our commercial engine and our core hotel operations is one of our highest areas of value creation opportunity. We have made substantial progress on both of those fronts, upgrading talent in many positions, implementing new strategies to improve our call center and our website, and continuing to remain focused on driving core extended stay customers into our hotels. These efforts are already paying off. Revenue from our proprietary channels in the third quarter was nearly flat compared to the same period in 2019, and we saw the largest single month's revenue generated by our website esa.com in the company's history, during the month of July. And for the month of September, revenue from extended stay guests was up 7% with extended stay occupancy up 18%, compared to 2019 largely offsetting a 40% drop in transit revenue. This [production] from our commercial engine is unprecedented. And I think it highlights how unique our value proposition is to both franchisees and to our shareholders. Extended Stay America will deliver strong results in good times, as well as bad. And it’s important to note that we've achieved a strong third quarter result despite difficult market conditions in our highest RevPAR markets, and we expect to gain further traction as these markets return to normal. And with our lean operating model, increases in revenue will flow to the bottom line at a higher rate, driving EBITDA and margin. Going forward, we expect to build shareholder value, not only by improved performance of our owned hotels, but also by growing the number of hotel properties operating under the ESA flag through franchising. And we also have a strong focus on creating value by curating our own hotel portfolio. We've made progress in the third quarter in further developing our asset segmentation strategy for our owned assets. We also made progress during the quarter further developing our asset segmentation strategy for our read assets. As we strive to maximize the value of our reach to more proactive asset management, we'll be targeting renovation investment in those assets with the highest potential to drive above market RevPAR performance. And in those instances where one of our hotels is more valuable for a higher and better use by a non-hotel investor, we will seek to realize that excess value for our shareholders. Simply put, our asset disposition strategy is to strategically curate the portfolio of assets that we can transact at multiples significantly above the company's current trading levels. This is made possible by the fact that we have assets in hotels located in irreplaceable premium locations. In addition to our operating performance, we will the value inherent in our [REIT portfolio] is another source of shareholder value that is unappreciated by the market today. We will further quantify these disposition opportunities and expect to share some more on this important strategy in 2021. We continue to work to facilitate our shift to an asset like UNIQLO strategy through franchising, upgrading talent in that group, and adding more resources to support the franchising system. I truly believe that Extended Stay America has the most compelling prop – value proposition in the industry today. Both for developers that want to build new extended stay hotels, as well as owners of existing extended stay product that may wish to convert. The awareness of the ESA brand and our singular focus on the extended stay segment in everything we do, coupled with our proven prototype and our industry leading performance through the pandemic, positions us to be the leading extended stay franchisor in the industry. While the lodging industry lending environment is not favorable to new construction development at the moment, we continue to see strong interest among developers for the future, and significant activity with respect to conversion from competing brands. We expect to close additional conversion opportunities into the ESA brand during the fourth quarter. Discussions with future and existing franchisees remained very productive. And I strongly believe that once the financing markets improve, we'll be able to deliver on significant brand growth through franchising. And finally, we remain committed to a balanced capital allocation strategy. The strength of our model and our strong cash flows allows us to invest in a business, repay that, and return capital of shareholders. This quarter, we generated more than $60 million in free cash flow. We paid all amounts outstanding under our $350 million REIT revolver while continuing to invest in the business and maintain our hotels, while others in the industry defer capital and significantly [trim step] that may damage their long term growth prospects. David will focus more on cash flow in just a few moments. As I shared in the last quarter, despite the challenges in the lodging environment, I'm convinced more than ever, that our unique business model, the talents, and extensive segments specific industry experience with our team, the strength of our corporate culture will all lead to significant growth and value creation opportunities for ESA in the coming years. I am confident that we can continue to outperform during these difficult times, fully participate in better times when they arrive, execute our growth plans, and create significant shareholder value in the process. The best days for this company are ahead of us, which of course includes growing adjusted EBITDA to 2019 levels and beyond in the years to come.  And now, I'll turn the call over to David, who I am thrilled has assumed even greater responsibilities in our senior leadership team as our new Chief Financial Officer. David will discuss our third quarter results, our fourth quarter guidance, in addition to some further details on our dividends. David?
David Clarkson: Thank you, Bruce. Although I’m a long standing state veteran and have had the opportunity over the years to interact with many of the people listening to this call, I'd like to start off with this as my first call as CFO of Extended Stay America by thanking Bruce and the board's for their support. I’m honored and I look forward to continuing to work with our investors and analysts, enhancing shareholder value through the execution of our business strategies, improving our organization, and continuing to strengthen our already strong processes and controls. I would like to thank my team and colleagues for the smooth transition and hard work over the last several months. In the third quarter, comparable system-wide RevPAR declined 14.7% due to the COVID-19 pandemic compared to the same period in 2019, driven by a 13.7% decline in ADR, as well as a 100 basis point decline in occupancy. Comparable system wide RevPAR improved throughout the quarter with July down approximately 19%, August down 14%, and September down 10%. Both August and September benefited from the shift and strength of [labor debt]. About 200 basis points of the ADR decline was the result of a shift in mix for longer stay guests with another 300 basis points resulting from larger occupancy declines in higher rated markets relative to the lower rated non-Top 25 markets. The decrease in RevPAR during the third quarter was driven by a 40% decrease in nightly transient revenue and a 12% decrease in our weekly revenue, partially offset by a 5% increase in our monthly plus business. In total, our core extended stay revenue saw a slight increase in the quarter, highlighting the strength of our commercial engine in our unique focus on this segment of the industry. For the first nine months of 2020, comparable system wide RevPAR declined 16.9% driven by a 12.9% decrease in ADR. Revenue from third party channels declined 44% during the quarter, predominantly from OTAs. ESA’s channels saw revenue declines of only 3% and in the month of September actually increased 3%, again highlighting the strength of our commercial engine. The company's RevPAR index increased over 33% year-over-year to 129 in the third quarter with relative gains in both occupancy and rate. We believe we will continue to see very strong RevPAR index scores compared to 2019 levels for many years to come. Hotel operating margin declined 650 basis points in the third quarter to 47.3%, compared to the same period in 2019. However, this represented a 560 basis point increase from the second quarter. The decrease in margin was driven by decreased company-owned hotel RevPAR, an increase in charges related to guest non-payment and PPE expenses for our field associates. This was partially offset by decreases in marketing expense, largely OTA Commission's, room expense, and a slight decrease in labor costs even with occupancy nearly flat. Hotel operating margins for the first nine months of the year declined 780 basis points to 45.1% showcasing that even in the worst event and industry history, we can maintain very high operating margins. Corporate overhead expense, excluding share based compensation and transaction costs was $21.5 million in the third quarter of 2020. Adjusted for severance costs, overhead was approximately flat, compared to the third quarter of 2019. Adjusted EBITDA in the third quarter was $112.7 million, a nearly $40 million increase sequentially and well above our expectations as we saw strong improvements in our RevPAR change year-over-year as the quarter advanced. This was down from $156.3 million a year ago however. The decline in adjusted EBITDA during the quarter compared to the prior year was driven by a decline in RevPAR, partially offset by 3.5% decrease in comparable property level expenses. Adjusted EBITDA for the first nine months of the year was $284.8 million, compared to $426.3 million in the first nine months of 2019. Net interest expense during the quarter decreased by $4.2 million to $32.3 million due to a lower LIBOR rate and transaction financing costs in the third quarter of 2019 related to the sale of senior unsecured notes. The company had an income tax benefit of approximately $7.1 million in the third quarter, compared to $10.5 million in income tax expense in the same period of 2019. Adjusted FFO per diluted Paired Share declined 25.9% in third quarter to $0.40 per share, compared to $0.54 in the same period in 2019. This decline in adjusted FFO per diluted Paired Share was driven by a decline in comparable system-wide RevPAR, partially offset by an income tax benefit, reduced hotel operating expenses, and a reduction in Paired Shares outstanding. Adjusted FFO per diluted Paired Share for the first nine months of 2020 was $0.88 compared to $1.43 in the first nine months of 2019. The company had net income of $31.5 million during the quarter, compared to net income of $53.2 million in the same period of 2019. The decrease in net income was driven by a decline in comparable system-wide RevPAR, partially offset by a decrease in hotel operating expenses, and an income tax benefit. The company had a net income of $30.6 million for the first nine months of 2020, compared to net income of $141.3 million for the same period in 2019. Adjusted Paired Share income per diluted Paired Share in the quarter was $0.19, compared to income of $0.33 in the same period in 2019. The decrease was primarily due to the decline in RevPAR, as well as increased depreciation, partially offset by an income tax benefit, lower hotel operating expenses, and a reduction in Paired Share outstanding. Adjusted Paired Share income per diluted Paired Share for the first nine months of 2020 was $0.22 compared to $0.81 in the same period in 2019. The company ended the third quarter with $396 million in cash and restricted cash and total debt outstanding of $2.7 billion, due in part to the company's significantly improved operating position, with the company currently generating positive cash flow since June, we repaid the $350 million outstanding under our revolver in the third quarter. Excluding this repayment, our cash position increased by approximately $64 million, even with significant CapEx investments during the quarter. Our primary use of free cash flow in the near and medium-term will be to ensure sufficient liquidity is maintained, invest in our core business, and prudently return capital to shareholders. Capital expenditures in the third quarter totaled $39.6 million, including $2.9 million for renovation capital, and $16.7 million for new hotel development. The company opened one new purpose built ESA during the quarter, while a franchisee converted one hotel to the ESA banner during the quarter. As a reminder, after we complete the on balance sheet hotels in process, we expect to grow unit count predominantly if not exclusively, through franchise growth rather than through on balance sheet development. Our total pipeline stood at 65 hotels at the end of the third quarter. And as Bruce mentioned, we expect several conversions from franchisees in the fourth quarter to the ESA banner. Our RevPAR trends have been quite consistent over the last six weeks or so, running down versus last year between 11% and 14% nearly every week. Our expectation that those trends will continue and that our fourth quarter comparable system-wide RevPAR will decline between 11% and 15% compared to the same period of 2019. This is a wider range than we typically provide. The field is appropriate given the general economic and travel uncertainty, including the increasing number of COVID cases. We expect adjusted EBITDA for the fourth quarter to be between $78 million and $88 million. For the full-year 2020, we expect comparable system-wide RevPAR declines between 15.5% and 16.5% and adjusted EBITDA between $363 million and $373 million. We expect capital expenditures for the year to be between $170 million and $190 million, as we differed slightly less maintenance than previously planned as a result of our stronger performance. We have lowered our net interest expense estimate to $130 million due to lower LIBOR rates and the revolver paydown at ESH Hospitality and modestly increased our depreciation expense expectations for the year to between $203 million and $206 million. The company did not repurchase any Paired Shares during the third quarter, and our current total outstanding remaining authorization for Paired Share repurchases remains $101.1 million. Yesterday, the Board of Extended Stay America, Inc. declared a cash dividend of $0.01 per Paired Share payable on December 8, 2020 to shareholders of record as of November 24, 2020. This will mark the third consecutive quarter of a distribution of $0.01 per share. ESH Hospitality will of course continue to ensure it meets its requirements and will also continue to seek to minimize income taxes for the consolidated enterprise, including distributions to shareholders of at least 90% of its taxable income. Accordingly, the company expects to make it catch up distribution in the first quarter of 2021. We are pleased to be in a position to return capital to our shareholders and expect the range of this catch-up distribution in early 2021 will be between $0.15 and $0.20 per share. The final amount will vary depending on the final taxable income at ESH Hospitality and is subject to the approval of the board. Operator, let's now go to questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of David Katz with Jefferies. Please proceed with your question.
David Katz: Hi, good morning, everyone, and thanks for taking my question. I wanted to sort of get into the – a bit deeper into the notion of unit growth, and you know, talk about sort of the key, you know, benefits, barriers, issues and risks around, you know, conversions, which, you know, is sort of topical across the industry? And, you know, whether that's – those are financial or sort of practical execution, you know, opportunities that you have?
Bruce Haase: Sure. Yes. Thanks, David, happy to answer that question. Thanks for your interest. You know, in terms of unit growth, as we've stated, you know, we're working through our pipeline of on-balance sheet development. We opened a new hotel in Tampa, I think just yesterday, and we'll be opening for more and working through that pipeline of on-balance sheet development over the coming months. So, we really are shifting, you know, to a franchise development, you know, unit growth strategy. You know, our timing is difficult right now, with the pandemic, obviously, you know, we believe we have an extremely strong value proposition given our strong brand and our singular focus on the extended stay industry, particularly our distribution channels that are, you know, unique in the industry, so no one can really deliver the – I think the brand and the type of business that we can deliver. But, you know, unfortunately, the financing environment is different. We have, you know, a great deal of interest in the third quarter at both, you know, new and existing franchisees looking to develop, but unfortunately, you know, given the uncertainty in the market within COVID, given, you know, debt markets, you know, that interest hasn't necessarily translate it into, you know, executed contracts. I feel very confident it will and I feel very confident that when, you know, the markets come back, you know, we'll be first in line for new development, given the performance that we have and our strong value proposition. In the meantime, you know, we have had some luck in conversions. You know, the conversion opportunity in extended stay is not nearly as expensive as it is in the, you know, in the transient business, because, you know, we require [full kitchens] and, you know, there's a much more limited, you know, universe of potential conversion opportunities. Lots of transient owners over the years have looked at trying to find ways to convert transient hotels to extended stay hotels, but the economics of that are very difficult and I haven't actually seen that work yet. But the good news is that, you know, we do have a pipeline of, you know, conversions coming in the fourth quarter, and some that we believe will come in the first quarter of next year as well. So we're working through those as we speak. We're not, you know, in a position to, you know, announce numbers, but it's – you know, it's an opportunity, it's not a massive opportunity, but I think it's a bridge together to a better new development market.
David Katz: Got it. Thank you very much.
Bruce Haase: Thank you. 
Operator: Your next question comes from the line of Anthony Powell with Barclays. Please proceed with your question. 
Anthony Powell: Hi, good morning. You talked about, you know, some curating your portfolio and maybe renovating some of the assets that you own in the restructure. Could you maybe go more into what you're thinking there? And what's the goal there? 
Bruce Haase : Sure. 
Anthony Powell : Is it to try to capture a higher rate of customer or some more detail will be great?
Bruce Haase: Yes, sure. Appreciate it. So, there's really two – you know, two legs to that question. The first is really in terms of making more strategic investments in our re-portfolio. Obviously, we have 550 hotels that we own. You know, not all those hotels are equal. We have some hotels that are in extraordinary circumstances or – sorry, extraordinary locations, with strong demand drivers, you know, more white-collar high-rated business that we think that we can attract.  So, we're really looking at the more strategic in terms of rolling out a new renovation program and focusing our renovation dollars on those assets, you know, where we believe we can drive, you know, above market rate and RevPAR growth over the coming years. So, the first part of it is really, you know, looking at more strategic and renovation investment, not just throughout the whole system, but really targeting at least in the first wave, that renovation investment in those assets, where we really think we can move the needle dramatically.  Second, part of your question is sort of more on the curation side, you know, and we've talked about that before. We have, you know, a portfolio that was – you know, that was built, you know, 20, 25 years ago, by some very smart real estate developers and we have, you know, markets that have evolved to the point where, you know, you wouldn't develop a mid-scale lodging asset on that [dirt] today, and we have a number of opportunities that we’re working through currently that are in, you know, negotiation with due diligence and various stages. You know, for non-hotel uses, where the, you know, buyers, you know, value add asset at a much higher level than a hotel owner would. So, we're working through those and we hope to have something to announce shortly. But, you know, our general policy is not to announce that until, you know, if it gets pretty close to being [indiscernible] deals, so – but there's a number of opportunities that we're going to – that we're working through as we said on the call. You know, we will continue to refine that analysis and continue to look through our portfolio and try to develop that set of opportunities where we believe that, you know, there are assets that are, you know, we believe to be more valuable in other hands and other uses, you know, compared to the best, you know, possible value that we can drive out of that as a mid-scale extended stay asset. So that work continues.
Anthony Powell: Yes, thanks. And a lot of the peers that owned hotels and maybe the upper mid-scale, or up-scale segment seem to have, you know, expanded their extended stay mix. In a normalized environment, could you maybe get some of that business that went to those higher price segments? Or how do you see the overall competitive landscape of all for this extended stay businesses out there now? 
Bruce Haase: Yes, I mean, there's – you know, there's not – extended stay – there's many different peers to the extended stay market. And, you know, I think we've definitely, with our brand – you know, our brand is extremely strong, and, you know, we've done a lot of research, consumer research in terms of the strength of our brand – you know, our brands, you know, resonates not only with sort of, you know, core – our core customers, but also, you know, resonates and is attractive to, you know, customers of competitor brands that are, you know, at higher price points than we are. So, you know, through our renovation strategy and through the strength of our brand, you know, we do think we have the opportunity to steal some share from some of those higher rated brands in those higher rated segments and that's really the core of – you know, the core of that idea. 
Anthony Powell : Thank you.
Bruce Haase : Thank you. 
Operator: Your next question comes from the line of Chad Beynon with Macquarie Group. Please proceed with your question.
Chad Beynon: Good morning. Thanks for taking my question. Regarding your fourth quarter EBITDA guidance, it appears that you're assuming a similar, I guess, negative relationship to EBITDA decline to revenue as you saw in the third quarter. Can you just talk about, you know, maybe some of the things that go into this? You know, are we assuming that seasonality and just the uncertainty around COVID? And obviously, you know, from an absolute revenue standpoint, bring that down, and you're just not able to get any additional operating leverage, just some more color there would be helpful? Thanks.
Bruce Haase: Sure. David, do you want to take [indiscernible]?
David Clarkson: Sure, Chad. This is David. Sure, good morning, Chad. Thanks for the question. Yes, you observed correctly that we're essentially assuming a continuation of recent trends. Our RevPAR has been down, as I mentioned in my prepared remarks, between 11% and 14%, for, you know, most of the last six weeks or so. Quarter-to-date, thus far, we're kind of right in the middle of our range down about 13.5%. Meanwhile, our expenses have been also pretty steady and pretty predictable. You know, our largest hotel level expense, of courses, is payroll. Most of our staff positions are fairly fixed in nature. And so, we're seeing kind of inflationary increases in those roles. Housekeeping is the exception and because of our longer length of stay this year, where we're seeing declines in housekeeping. So payroll is generally running, you know, about flat year-over-year, and we expect that to continue in Q4. Other expense areas, we're continuing to see savings in breakfast costs and OTA commissions. Those savings are being slightly offset by increased PPE costs and increased cash credit. So net-net on the expense side, you know, we're expecting property costs to be slightly lower than last year. You know, but as you, I think, referenced, you know, it's – most of our expenses are pretty fixed in nature.  So to the extent our revenue declines year-over-year, it's hard to flex a lot of that and drive a lot of operating expense savings to the bottom line. But, you know, I think we're being big smart in allocating our payroll appropriately where there are hotels with lower occupancy. We're pulling back where there hotels running high occupancy, which is most of our hotels were, you know, kind of running in accordance with our labor model. You know, we have done things like clean rooms less frequently every other week as opposed to every week for people staying weeks and months at a time, that's something that we'll continue to evaluate and give guests the option to do. You know, when it comes to seasonality in the business, you know, our business is less seasonal than the traditional hotel company. And this year with a higher mix of extended stay business, we should be even less seasonal than we normally are. And holidays have been good for us during the pandemic because it's sort of an easier comp as a year ago, the more transient business checked out.  And so, Labor Day, for example, we were only down 2%, which was much better than our trends in surrounding weeks. And so, to the extent that pattern holds in Q4, Thanksgiving and Christmas, I'd expect this to be closer to the top-end of our RevPAR range. You know, that said we did not, you know, bake into our forecast any changing trends as a result of COVID cases going up, and, you know, some states certainly are imposing a few more restrictions to [indiscernible] the pandemic. So we've not seen any of that reflected in our numbers and we've not baked that into our outlook, but, you know, I think that hopefully that helps Chad.
Chad Beynon: Yes. That's great. Thank you, David. And then Bruce, you noted growth through franchisees versus on-balance sheet, but given the improvement in the extended stay brand in your recent RPIs, does this open up opportunities for traditional M&A? Or is the focus going to continue to be with franchisee growth? Thank you.
Bruce Haase: Sure. Yes, I think you should think about the opportunity with franchisee growth. Obviously, we're open to M&Q. You know, we would be very open to, you know, a brand acquisition. But there's just not – there's not many out there. I mean, most of the brands are – you know, are locked in with – you know, with other brand families and there's really not a whole lot in terms of brand acquisition opportunities out there, but if we could find something that would fit, that would certainly be something that we'd be interested in.
Chad Beynon: Okay. Thank you both. Nice quarter.
Bruce Haase: Thank you. Thanks.
David Clarkson: Thanks, Chad. 
Operator: Your next question comes from the line of Stephen Grambling with Goldman Sachs. Please proceed with your question.
Stephen Grambling: Hi, thanks. In the opening remarks, you referenced that you still see opportunity from some of the more dense population locations, which maybe haven't covered yet. What does the path of recovery there require? And what might be the interplay with a stronger demand in the less densely populated markets look like? 
Bruce Haase : Yes, I'll start and ask David to chime in as well. Really, we've seen – well, you know, first of all, I think, you know, our results are strong despite the fact, you know, that we have high concentrations in the northeast, in Boston, in New York City area, in Washington DC, Florida. The Bay Area in California, Seattle, those are some of our highest RevPAR markets. Those are some of our densest markets in terms of unit count and those have been some of the markets that had been, you know, hardest hit, not just for us, but for, you know, the entire industry.  So, you know, we're pretty pleased with the results we've had despite our concentration in those high RevPAR markets. We're seeing some improvement with [indiscernible]. You know, we continue – in every single one of those markets that I've highlighted, we continue to outpace our concept by a strong margin, even though, you know, we're down substantially from where we were last year.  So, you know, I think that’s – those markets will obviously, you know, recover and hopefully, use of the vaccine will, you know, start to move the needle, and you know, as those markets recover, and, you know, in terms of rate and it's primarily a rate issue, not necessarily for us an occupancy issue in those markets, you know, that is – you know, it’s high that will lift us up as well. But, you know, the pace of that, you know, that recovery in those markets are I think uncertain.
Stephen Grambling: Understood. I know [multiple speakers].
David Clarkson : Yes, I’d just add real quickly that, you know, the markets were down the most, some of which Bruce mentioned, the Bay Area, Seattle, Boston, DC area, those are the markets where the industry is down the most. And, you know, in some cases – in most cases, those markets are down, you know 70% or so industry-wide, you know, and our index growth in those markets is the highest. So, you know, I think it's really just going to take those markets sort of returning more to normal, and there should be some, you know, some nice uplift for us there. And I'd also point out that in each of our Top 20 markets, our RevPAR index growth is positive. So I think, you know, that highlights, you know, that just system-wide, you know, what we're doing and the uniqueness of our business model and the focus of our sales team on driving extended state business is paid off for us, you know, in every market.
Stephen Grambling: That's good color. And another related follow-up, you also noted, very positive growth in the [website direct] and I think you said July. Is there any way to frame or quantify how much of this is driven by shifting consumer demand due to COVID versus your actions? I mean can you just remind us about how you think about the longer-term opportunity from improving distribution?
Bruce Haase: Yes, sure. You know, I think – I really appreciate that question because I think that is something that's really underappreciated. You know, there is no one in the industry that has, you know, fine tuned their distribution channels, you know, to focus on extended stay like we have. So we really do have a very, you know, unique asset of the industry, not just, you know, our sales force, our distribution channels with proprietary distribution channels, given our website and our call center.  You know, we've made – we have new leadership throughout the commercial engine. We have made some changes to, you know, how we market. We've made some changes to our existing website. We're in the process of building a new and a much better website that will be launched in the first quarter. But in the meantime, you know, we haven't stopped, you know, trying to optimize our e-commerce spend and we haven’t stopped trying to optimize, you know, the booking pass on our website in the promotions that we're doing and those are paid off. I don't think there's been any sort of systemic, you know, shift in booking patterns from customers. I think, you know, what we're seeing in terms of our distribution channels is, you know, changes to the new management team and the commercial engine has made to drive those changes. So I think there's more to come there. You know, we continue to invest in that area and I think, you know, there is no doubt that we will certainly have the best distribution channel – extended stay distribution channels in the industry by far. 
Stephen Grambling : That's it. Thanks so much. 
Bruce Haase : Sure, thank you.
Operator: Your next question comes from line of Chris Woronka with Deutsche Bank. Please proceed with your question.
Chris Woronka: Hey, good morning, guys. 
Bruce Haase : Good morning. 
Chris Woronka : Wanted to ask you about the – your, I guess, monthly extended stay customer and as we think about at some point, you rotating a little bit back towards more transients shorter term, you know, how quickly can you pivot that? And maybe the question is, can you remind us of kind of the mechanics of those longer-term stays in terms of how – what the lead time is on renewals, and then, how quickly you can convert them to – those same rooms to shorter-term, higher rated stays?
Bruce Haase: Sure. Yes, appreciate that. Thanks, Chris. Yes, we are, in some markets, actually already doing that. We're doing that, you know, through pricing. We have, you know, a number of markets where – and a number of hotels, and we, you know, revenue manage on, you know, hotel-by-hotel and district-by-district basis. You know, we have a number of properties where we've been consistently over, you know, 90%, and we're able to, you know, push rate by, you know, through revenue management. You know, most of our customers are on a sort of a month-to-month basis. We do have some that are on, you know, 60 days, but those are, you know, the minority of our business. So, we certainly do have, you know, the ability to shift that mix as we see demand coming in, you know, particularly from, you know, higher rated extended stay business, which is, you know, 7-29 night business for us. You know as we see that come and as we see some transient come in, you know, we will take opportunities to, you know, to revenue manage our way back to normal and more favorable guest mix, but you know, in terms of the lead time, it's, you know, think of, you know, weeks, its weeks, not months to move the needle there.
Chris Woronka: Okay. Very good. And then, on the franchise side, certainly understand and appreciate your comments about the financing issues that are out there, those are very real. But can you give us a flavor of kind of what your prospect pipeline looks like in terms of the franchise? Are these guys that are – own different extended stay product? Do they own a different limited service product? Is there any way to kind of just categorize them to figure out, you know, when their liquidity situation is going to improve?
Bruce Haase: Yes. I don't know, if we can – you know, we have a – you know, our pipeline is pretty diverse. You know, we have, you know, individual franchisees, and I think of traditional [other] franchises that we're talking about. We have, you know, existing very large scale, existing extended stay owners, both in our brand and competitor brands that we're talking to, and, you know, we have, you know, commercial, real estate developers that are also looking at the brand. So, it's a fairly diverse group of franchisees, which I think is, you know, healthy. And, you know, I think it's hard to characterize each one. You have to kind of look at on an individual basis. But, you know, right now, there's just not, I think the competence in the market to, you know, particularly for new development to pull the trigger. There is a lot of, like I said, activity on, you know, some portfolios in extended stay hotels that are being purchased by some of the folks that we're working with on the franchise side. That seems to be – you know, buying a stabilized asset, you know, is, I think an easier thing for people to get their heads around in this market then – and take [indiscernible] restaurant, that seems to be where the most of the action is right now.
Chris Woronka: Okay, appreciate that. Very helpful. Thanks, guys.
Bruce Haase: Thank you.
David Clarkson: Thank you.
Operator: Your next question comes from line of Smedes Rose with Citi. Please proceed with your question. 
Smedes Rose : Hi, thank you. I wanted to ask just a little bit more about the long-term guests that you mentioned in your opening remarks. You saw RevPAR for that monthly guest go up by 5%. And then, you just mentioned on the previous question about maybe mixing that down a little bit as more short-term transients comes back. And I just wanted to ask you, what percent of occupancy is the monthly guests now? And kind of who is that? Is it more people staying for personal reasons? Or is it a mix of personal and longer-term business or, you know, more corporate business I guess?
Bruce Haase : Yes, sure. Thanks Smedes. I'll turn it over to David in a minute to give you some of the data there. But just in terms of the character of those guests, and, you know, we think of, you know, long-term guests as folks that are staying with us 30 nights plus, and that really does, you know, encompass both folks that are, you know, staying with us for personal reasons and folks that are staying with us for business reasons, particularly, you know, on the business side of [highlight] construction.  We have, you know, a number of hotels that have, you know, construction crews that are on multi-month, maybe multi-year projects could stay with us. You know, we certainly have still temporary medical workers staying with us. We have logistics workers staying with us. You know, our business customers, as we think we pointed out before, are folks that, you know, need to be physically present for their jobs. They do not have the opportunity to stay on Zoom calls all day to do their business. So, you know that business is there. You know, that business can be 30 plus. It can be weekly business.  On the personal side, you know, a lot of that is really locally driven business. And, you know, that's really where our field sales force comes in, you know, to find pockets of that business. You know, these are folks that are, you know, in life transitions. These are folks that are moving folks, you know, looking for housing. You know, we've had, you know, many guests that have stayed with us and I've got a lot of e-mails from guests that are, you know, having [indiscernible] kids in our properties because of the pandemic and the economic dislocation, they've had to move cities. So, you know, that is the nature of those guests.  And as I said, you know, that's generally residential personal businesses, usually generally the lowest rated, you know, part of the stack. So, you know, as we see other segments improve over time, you know, we will be able to, you know, revenue manage more carefully that group. David would you – could you add some details on the mixed numbers?
David Clarkson: Sure. So, Smedes, our room night mix in Q3 was about 58% of our occupied rooms were people staying 30 or more nights, which is about a 10 point increase over the prior year. And that shift all came from one through six night’s stay, which went down from 33% a year ago to 23% this year. And so the 7-29, the weekly stayed flat at about 20%.
Smedes Rose : Okay. And just – so the 58% that's the longer-term stay, sorry to put – you know, make you sort of go down this rabbit hole. But what – I mean, what percent of that – what's the breakdown of that between the sort of life transition personal stay customer versus the more, you know, business-oriented customer? Because the reason I'm asking is because I'm thinking about pricing power for next year and it seems that that life transition customer is going to have a lot less ability to pay a higher rate. So, I’m just sort of wondering, you know, what's kind of the pool, I guess, of potentially – you know, replacing that customer over time?
Bruce Haase: Yes, I think – you know, I’ll ask David, I'm not – perhaps we have some estimates on that, I'm not sure. You know, we necessarily, you know, for all customers have, you know, the purpose of their stay when they check-in, but maybe David can estimate that. But you're right, I think, you know, that – particularly the – you know, we have a rate that is, you know, a stay of 60 nights, where you pay, you know, 30 nights in advance. You know, that is our – generally our lowest rated source of business. That is something we did rely on extensively during the pandemic, particularly when it started, and, you know, we had been able to success – and that's generally again, you know, largely, you know, residential, if you will, or personal business. And, you know, as markets have improved, we have moved out of that. But I think, you know, the real opportunity for us is, you know, not necessarily to pick up a lot more transit business because that's not really what we want to do. We will pick up some of that, but I think the – you know, the opportunity going forward will be to shift out from that personal business to medium-term extended stay, sort of extended stay that – business that's in the 7-29 night [stay length], which we really, you know, suffered greatly in this pandemic.  You know, the IT consulting work that we had, the – you know, the pre-opening work for restaurants and retail establishments that we had, I mean all of that sort of, whitish, grayish color, you know, extended stay business really got hit. You know, government business, we go in that category, as well, a lot of that travel really got hit during the pandemic. So, I think, you know, the opportunity is not to really replace that personal – low rated personal stay business with a transient business, which is disrupted to our business model. But, you know, as those other corporate segments, weekly corporate segments come back to transition into that. But David do we have any estimates on the mix of personal versus corporate business in the 30 plus? 
David Clarkson: It's difficult to [tease] that out with a lot of precision, but I'd say, you know, of the 30 plus, you know, probably, you know, a third of that are people, you know, staying on more discounted rates, with us, you know, two months or longer rate. And as Bruce mentioned, as we've moved through the pandemic, we've, you know, successfully been able to reduce the amount of discount that we've, you know, been offering for those folks. So – but there still remains opportunity to, you know, shift that longer stay mix to, you know, higher paying 30 plus, and also higher paying 7-29, sort of corporate as things begin to come back.
Smedes Rose: Alright, I appreciate it. And then, David, maybe you could just – you know you talked about the catch-up dividend in the first quarter. Just in general, I mean, how are you guys thinking about capital return, you know, in addition to that either through just instituting a, you know, more normalize dividend or share repurchase or some kind of move through this?
David Clarkson: Sure. So the catch-up dividend I referenced, we plan to pay in Q1 and now kind of get, you know, the REIT dividends for 2020 up to 100% of the taxable income, which is what we've targeted as a payout ratio for the REIT in recent years. That's what's most tax efficient for us and, you know, we're pleased to be able to return that capital to shareholders. You know, I think going forward in 2021, my expectation is that we will reinstitute a regular quarterly dividend from the REIT equal to roughly 25% of what we think the REIT’s taxable income will be for the year. You know, in the past, we've also paid a dividend from the C-Corp. I do think that additional returns of capital to shareholders over and above the REIT distribution, whether be it from C-Corp dividends or from share repurchases, will be quite limited in the near term, but certainly is something that we will continue to discuss with our boards, at least quarterly. But, you know, just paying a dividend at all, I think, differentiates us from a lot of our peers and next year, you know, our REIT dividend will be, you know, I think a reasonable dividend yield for us.
Smedes Rose: Okay. Thank you, guys. Appreciate it.
David Clarkson: Thank you.
Bruce Haase: Thank you.
Operator: Your next question comes from line of Joe Greff with JP Morgan. Please proceed with your question. I apologize. The next question comes from line of Dany Asad with Bank of America. Please proceed with your question. 
Dany Asad : Hi, good morning, guys. David, in your prepared remarks you made your capital allocation priorities pretty clear and we can definitely appreciate that we're not, you know, in a place where we can get formal guidance here, but can you maybe just help us think about the priority of free cash flow and maybe in buckets? So, you know, how much on-balance sheet development his left? And then, how much – you know, what those ROI projects you guys mentioned, make up? And then, if there's any IT spend, when we think about next year's priorities?
David Clarkson: Sure. So with respect to our development CapEx, you know, we've got – after having opened one hotel today, we've got five hotels under construction. Cost to complete construction on that group of hotels is about $25 million, half of which, you know, I'd expect we’d fund in Q4 with the remaining into next year.  Our IT CapEx is, you know, kind of on the $10 million to $15 million – in the $10 million to $15 million range annually. You know, this year, our maintenance CapEx will be, you know, something on the order of, you know, $75 million to $85 million. We did, you know, defer some projects this year as a result of the pandemic and wanting to maximize liquidity. You know, so some of those will get pushed into the next year. You know, with respect to ROI investments on the hotel, you know, Bruce talked about that a little bit, well, we're not ready to, you know, provide guidance for next year on that. We're still working on those plans and we typically provide guidance for the year both operating and capital allocation during our call in Q1, which I'd expect we would do this year. You know, but generally speaking, with respect to capital allocation, certainly we want to invest in our hotels to maintain them and where appropriate investment ROI projects. You know, we’ll continue to pay the REIT dividends, roughly 100% of taxable income. You know, to the extent there – our asset sales, which there are, you know, some in the pipeline, we would expect to, you know, do a combination of paying out a dividend to the extent there's a taxable gain on that, which is the most tax efficient thing for us to do. And depending on the quantum of proceeds, potentially repay some debt. As you may know, we have $50 million outstanding on our C-Corp revolver. And so, proceeds, I'd expect could go towards repayment of that. And, you know, we're, you know, happy to put cash on our balance sheet, and you know, reduce our net debt in that way as well. So, you know, hope that helps.
Dany Asad: That’s super helpful. My follow-up is actually on a prior question that was asked, can you guys – I think it was – Stephen was talking about, you know, just distribution channels. Can you just remind us how much of your proprietary channels makeup of the total mix, and if that's materially different than it would have been, you know, last year or in a more normalized environment?
Bruce Haase: Yes, sure. Yes, it is materially different than last year. You know, it was part of our longer-term plan pre-pandemic to reduce our reliance on the OTAs and GDS channels and the opaque channels, which, you know, delivered a lot of, you know, [transient] business to us that was not necessarily, you know, a good fit for us. So, you know, the pandemic did accelerate that mix shift for us. You know, our goal now is to, you know, keep that mix shift, pretty much where we see it today, and, you know, to grow the rates in our proprietary channels as we can. But, you know, what we're seeing just very generally, you know, we’ve look at – our two main proprietary channels are our call center, and our – you know, our internet channel, and, you know, those two channels, you know, in terms of mix, you know, were up about, you know, 5%, over where they were last year. You know, the call center was in the mid-20s, it's now in the low-30s. Our Internet mix in the third quarter of last year was below, you know, 20%. And now it's in the low-20s. So, you know, we certainly have seen that shift. You know, it shifted out of, you know, the OTA channel, which is down; shifted out of the opaque channel, which is down as well. Generally, those are, you know, transient channels.
Dany Asad: Very helpful. Thank you.
Bruce Haase: Thank you.
Operator: Your next question comes from the line of Michael Balesario with Baird. Please proceed with your question.
Michael Balesario: Good morning, everyone.
Bruce Haase: Good morning, Michael.
Michael Balesario : Just one question on flow-through as you guys are starting to think about 2021 and as you're looking out to 2022, where does that flow-through shakeout relative to the historical, call it, 60% to 70% range that you guys achieved pre-pandemic and kind of taken into account all the structural changes and the cost savings that you guys might realize in the coming years?
Bruce Haase : David, interested to take that?
David Clarkson : Yes. You know, we're in the process of putting together our operating plan for next year right now. You know, I think the amount of flow-through will largely be dependent upon, you know, what is the revenue recovery. You know, the larger the increase in revenue, the higher the flow-through. So, you know, I'm not in a position now to, you know, sort of give flow-through guidance for next year. We'll do that on our call during Q1. 
Michael Balesario : I guess maybe, though, as you think about relative to pre-pandemic, can you maybe walk through some of the puts and takes that have occurred in 2020 that might lead it to be higher or lower the same?
Bruce Haase : Yes. So, you know, I think the puts and takes will be some of the things I highlighted that, you know, we observed in Q3, which are, you know, breakfast costs, which have been down since the pandemic. We, you know, at some point next year, might look to reinstate that if, you know, conditions warrant. You know, the housekeeping frequency, you know, is another thing that we'll continue to think about. We've been cleaning rooms every other week. You know, we may continue that. We may give guests the option to have weekly housekeeping.  You know, on the flip side, to the extent, you know, sort of the shorter term business comes back, particularly through OTAs, you know, OTA commissions, you know, would go up, as with some of the, you know, required housekeeping. So, you know, I think there's a lot of, you know, sort of things that are [cross-currency], if you will. You know, I think what – as I mentioned, what's most important is the extent of the revenue recovery. I think there are, you know, some changes that we can make, whether it be breakfast and housekeeping, which will help our flow-through, but there will be some, you know, some headwinds as well.
Michael Balesario: Got it. Thank you. 
Operator: Your next question comes from the line of Thomas Allen with Morgan Stanley. Please proceed with your question. 
Thomas Allen : Thanks for fitting me in. Just in your prepared remarks, you talked about a number of strategic initiatives that you'll discuss more next year. Comparing to your 2016 Investor Day, you discussed many of the same thing, so improving revenue management, [indiscernible] on portfolio, investing where there are return, selling where there is valuable real estate. I guess, like the broader question is what's left to be done? Or what do you think prior management teams kind of missed? Thank you. 
Bruce Haase : Sure. Thanks Thomas for the question. I think we've been fairly, you know, transparent as we've, you know, as we've gone through the quarterly process and discussing where our plans are. You know, we do hopefully, we'll have the Investor Day when the dust settles a little bit next year to expand on those plans, I think, you know, I don't think that's the only – I think the main difference is that we're really, you know, focusing on our core business here, and we're going to focus on maximizing the value of the segment. And we're going to focus on the very best, you know, extended stay player in the industry.  And I think, I think that's, you know, at a very high level, I think that's, you know, the difference, I think, the you know, the prior management team did, you know, I think chase ADR, a little bit chase transient customers there, I think the asset curation strategy was different, did not focus on higher and better used assets, it focused on refranchising focused on balance sheet development, we're shifting that to, you know, to franchise development, but I think at the core of it all, you know, at the core of it all is a singular focus and, and a singular focus on what we're best at, which is being a pure play, in the extended stay business and maximizing the value of what I think is the most attractive segment in the hotel industry.  As we said, not just, you know, performing well, when times were terrible, like they are now, but you know building our commercial engine, building our, you know, our operating strategies, so that, you know, as the market comes back, we will, you know, participate in that comeback and, or more. And I think you're going to have the opportunity to do that. We have the opportunity to do that through more selectively, and strategically investing in our best properties, and more strategically curating our portfolio to find value, just locations that exist. So yeah, as I said, I think we've been pretty transparent on what we're doing. I think we would like to put a bow around all that, as we get some more certainty in the market next year, and then look forward to that.
Thomas Allen: Helpful. Thank you.
David Clarkson : Thank you.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the call back to Mr. Bruce Haase for closing remarks.
Bruce Haase: I just like to thank everyone for their interest in their questions. You know, good solid quarter. We realize we have a lot of work left to do. We believe there's a lot of upside that, you know, we can continue to go after, and look forward to any follow up questions that you have. And we believe that, you know, we're transparent and open and we look forward to further discussions over the coming days. So thanks and have a great day, everybody.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.